Operator: 00:03 Good morning and welcome to the Kontrol Technologies Q4 Full-Year 2021 Earnings Conference Call. I'm joined by the CEO of Kontrol Technologies Mr. Paul Ghezzi; and CFO, Mr. Claudio Del Vasto. 00:17 Before we begin, please be reminded that certain statements and information included in the management's discussion and analysts and financial statements and presentations, including information related to future financial or operating performance and other statements that express the expectations of management or estimates of future performance, constitute forward-looking statements. 00:43 For more information on the company's forward-looking statements and risk factors, please reference the management discussion and analysts and our financial statements for Q4 and full-year 2021. For all public information filings, please visit the www.sedar.com. Thank you. 01:04 I would now like to turn the conference call over to Mr. Paul Ghezzi, CEO of Kontrol Technologies. Mr. Ghezzi, you may begin your conference.
Paul Ghezzi: 01:12 Thank you. Hello, everyone and welcome to the Kontrol Technologies fourth quarter and full-year 2021 earnings conference. I'm joined on the call today by our CFO, Claudio Del Vasto. 2021 was a breakthrough year for Kontrol, driven by organic growth, innovation and strategic acquisitions. We delivered record results across our key metrics as reflected in our year-over-year revenue growth of 367%, $58 million and adjusted EBITDA growth of 227% to $6.5 million in 2021, while also achieving profitability on a net income basis. 01:52 With the North American economy reopening and a new focus on sustainable infrastructure driving an improvement in upgrade cycle in the Commercial and Industrial building sectors, the company is well positioned for future growth. I'll provide an update on our business initiatives shortly, but first, I will turn the call over to Claudio for a review of our key financial metrics for Q4 and full-year 2021. Claudio?
Claudio Del Vasto: 02:17 Thanks, Paul. Hello and good morning, everyone. This is Claudio Del Vasto, CFO of Kontrol Technologies. As Paul noted, we achieved record growth in the fourth quarter and full-year 2021. We're pleased to report that our revenue earnings and cash flow from operating activities, all grew substantially in the year. Allow me to provide a very brief summary on our results. 02:39 Revenues for the fourth quarter were $28.7 million, an increase of 567% from the same quarter in the prior year. Revenues for the full year 2021 were $57.7 million, up 367% over 2020, and well above our $43 million to $46 million guidance range. Gross profit for the fourth quarter was $5.9 million, an increase of 238% from the same quarter in the prior year. Gross profit for the full year 2021 was $15.8 million, up 162% over 2020. 03:21 Net income for the full-year was $1 million compared to a net loss of $1.9 million in 2020. Adjusted EBITDA for the full-year 2021 was $6.5 million, an increase of 227% from 2020 and in line with our guidance of $6 million to $7 million. 03:44 Cash flows from operating activities for the full-year 2021 were $4.7 million, representing an increase of 200% from 2020. We improved our financial position through an early repayment of debt financing that totaled $3 million in 2021. 04:04 In summary, Kontrol delivered strong revenue and earnings performance driven by growth across our platforms, as we continue to strengthen our balance sheet. 04:14 I'll now turn it back over to Paul.
Paul Ghezzi: 04:17 Thank you, Claudio. As we look forward to the remainder of 2022, we are focused on a number of key strategic initiatives that we believe will translate into further operational growth. These include, but are not limited to the continued expansion of our energy technology platform across North American markets. The acceleration of the BioCloud Technology through key distribution partners and driving organic growth within our existing markets through our cross-selling initiatives. 04:50 Our expanding suite of building technology solutions organic growth and strategic acquisitions are materializing in the form of significant operational momentum. The importance and necessity for enhanced intelligence to operate better, safer and more sustainable buildings is driving the ongoing building modernization process. From government policy stakeholder activism and the growing importance of social responsibility and corporations. Solving the climate related challenges are paramount. 05:23 Historically, the company has been focused on the addition of smart building technologies as a retrofit or upgrade to existing buildings. We entered the new construction market with the acquisition of Global HVAC & Automation in July 2021, which was our largest acquisition to-date. We've been working diligently on the integration of Global’s operations. To that end, we have recently announced two HVAC & Automation projects and the combined amount of approximately $24 million that showcases our ability to supplement our recurring revenue base with these larger contract wins. These projects are scheduled to commence in Q2 and Q3 of 2022. 06:05 We continue to expand our BioCloud partners and distribution network, as we continue to develop and enhance the technology. Commercially, we've expanded our BioCloud footprint into Japan, The Middle East and Europe, as the movement to employ air quality monitoring is driving demand for innovative safe space solutions. We believe we're in the early stages of viral and pathogen detection becoming integral to building monitoring technologies and we anticipate that BioCloud will be a catalyst for continued growth as we continue to secure additional commercial partners and increase our brand recognition globally. 06:41 We recently launched our new consolidated brand for the carbon markets Kontrol carbon. GHG emissions and carbon credits are growing an importance to the global market as the move to net zero continues to gain momentum. The combination of stakeholder activism, corporate social responsibility and government policy are providing the macroeconomic backdrop for the growth in this expanding market. By leveraging our technology platform, we are enabling our customers to meet their social responsibility mandates and provide a path to monetize verifiable energy savings from efficiency projects and corresponding GHG emission reductions. 07:21 We are well positioned with both our industrial and commercial teams to capitalize on the many aspects of this market, ranging from carbon capture equipment supply, emission monitoring and reduction, and assisting our customers with carbon offsets. In a post-COVID recovery environment, supply chain disruptions have affected many businesses, including Kontrol. The global supply chain remains highly sensitive to disruptions and is not operating at pre-COVID efficiency and we anticipate this will continue throughout 2022. 07:55 Kontrol has experienced inflationary pressure in the labor market, consistent with many service and solution companies. Some of these inflationary costs are passed on to customers in the form of price increases, others will be absorbed over time. While supply chain issues along with wage and inflationary pressures have impacted the business. We continue to seek to navigate these challenges by adding more technology into our projects, working with our suppliers and passing costs on to our customers where applicable. 08:25 Despite these macro constraints, we have maintained disciplined in the management of our P&L by limiting discretionary spending and working diligently to deliver positive adjusted EBITDA and we'll continue to do so moving forward into 2022. Kontrol continues to be uniquely positioned to capitalize on what Morgan Stanley refers to as the ongoing building modernization super cycle. And while we are pleased with the execution of our operating strategy in 2021, we have more work to do, and we look forward to continuing our momentum into 2022. We are just getting started into the next phase of our growth ahead, as we work to deliver sustainable value for our shareholders. 09:06 I would like to take some time to thank our staff, our customers, and our partners for their commitment to Kontrol as we continue along our journey. We are working diligently to continue to deliver strong financial performance while ultimately working toward our vision for a more sustainable future for all. We hope you continue to track our progress as we continue to innovate in the quarters and years ahead. 09:26 I'll now turn the call over to the operator for Q&A.
Operator: 09:32 Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Tate Sullivan from Maxim Group. Please go ahead.
Tate Sullivan: 10:07 Hi. Thank you. Good morning. On following up your comments about BioCloud and safer buildings, is your market opportunity supported by emerging regulations or is it mostly client driven at this point, please?
Paul Ghezzi: 10:22 Yes. Thanks for the question. So I would say, it's multiple fronts, building regulation is really what I would call it, regional local. So in Canada, it would be province by province; in the U.S., it would be state by state; New York and California would be leading the charge in the U.S. for more -- we would call it automation, reporting and regulations around air quality. I believe the Biden administration has just made an announcement on air quality. So I think those are the opportunities where it's not just about filters and UV cleaning, it's about detection. What we have found with BioCloud is the primary interest tends to lean towards the HVAC systems and monitoring the air from that perspective, and that's where we've had success with our global distribution partners tend to be from the HVAC industry. Thank you.
Tate Sullivan: 11:22 Thank you. And a follow-up if I may, you mentioned global distribution partners, is your ideal business mix going forward around the original equipment sales to those global distribution customers or is it more of a recurring revenue opportunity related to the monitoring? Can you comment on the ideal mix?
Paul Ghezzi: 11:40 Sure. So what we have discovered through our process is the distribution model works the best for us because it does a number of things in terms of how we operate the balance sheet in the P&L. So from a distribution partner perspective, it's a hardware sale, but also the recurring revenue from the replacement cartridges. Ideally, the recurring revenue will grow over time. And from a pure market perspective, we do have some cases where we will go direct to a customer conversation, but primarily, we focus on the distribution model, which saves us on the P&L and it gives us an opportunity to add global brands to our partnership.
Tate Sullivan: 12:25 Okay. Thank you.
Operator: 12:30 Thank you. [Operator Instructions] Your next question comes from Jeffrey Campbell from Alliance Global Partner. Please go ahead.
Jeffrey Campbell: 12:51 Hi, Paul and congratulations on the 2021 outperformance.
Paul Ghezzi: 12:56 Thanks, Jeff.
Jeffrey Campbell: 12:57 You announced the addition of the U.S. REITs customer last week, which appeared to be a win for SmartSuite. So a couple of questions. First, is the U.S. as a percentage of overall Kontrol business about the same as in the past or is this growing? And second, do you think you are more likely to win U.S. work with your Smart Technology versus the HVAC installations?
Paul Ghezzi: 13:24 Yeah. Thanks. Great question. So I'm going to answer it in a slightly different way. What we've discovered about the U.S., so I would say, we are primarily focused on the commercial Class B market, which is an underserved under technology market from the perspective of building automation is really lacking in that market. So what we've discovered in the U.S. is that that holds true the same as Canada. So the real interest is coming from, we own a number of properties and we have no visibility into our energy. Costs are rising, so that's going against us and we need to get more control in place. 14:02 So what we offer, our technology is really designed as a cloud-based interface for the customer to have Kontrol. You could also call it building automation light. So that's really where the interest is. It's taken us longer to crack into the U.S., primarily because of COVID and onsite issues. So now we can travel, we can go on site, we can do our deployments, the U.S. REIT we announced really started about a year ago, and it was just really a challenge to get on site. So I think that's behind us and the interest is coming really towards the technology. What can you do for me? What visibility can you give me? 14:41 And then the bigger question is, as I've got 20 buildings, how do I get all of them online in a unified platform? And I think that's one of the areas that we hold a competitive advantage, because really, we designed the technology for that purpose. So we are excited about moving into the U.S. and growing that part of the business.
Jeffrey Campbell: 15:02 Okay. Great. I appreciate that color. You referenced the 20 -- approximately $25 million in -- recent HVAC wins. I just wanted to ask if these are perhaps any unannounced HVAC work has contained predominantly been dollar equipment or is anything cutting edge like this VRV, VRF technology that you’ve discussed in the past, starting to get us all?
Paul Ghezzi: 15:24 Yeah. So I would say, the industry is moving from what would be a traditional fan coil unit, heating, cooling HVAC to heat pumps, which are more efficient and then VRF, VRV which are even more efficient. So it's really project by project, some of these projects will be three to four years in development before they start to get built so that really depends on when they started. My view on this is within the next five years everything is going to be VRF, VRV and there is going to be a good chunk that's geothermal. So those projects will start being planned and developed today. And I think we'll see close to a 100% movement away from traditional HVAC and we're prepared for that. And that's something that we talked about and think about quite a bit. And if you can gain expertise in your staff and that knowledge, it does provide you with an opportunity to, let's say, take an existing customer to a new platform or compete better in the market. 16:25 The other thing we're adding is our technology into the building as a value in terms of more monitoring, more technology from the Kontrol side into the global HVAC side. So overall, we've been very pleased. Of course, there's a lot of work to do, when you acquire a company that's that size, there's more integration work. There's other processes and technologies that we want to add. But I would say, it's off to a great start and more to come on that.
Jeffrey Campbell: 16:55 Great. In the context of BioCloud partners, I just like to ask how you assess the work with Steelcase is progressing at this time?
Paul Ghezzi: 17:05 So the way we think about our partners is, we like to add global brands and they have their own customer base and we allow them to do essentially, they do their own marketing spend using our products. So I think it's a big win for us to have these large firms marketing the BioCloud technology for us. I would say, quite conservatively, it saved us millions of dollars in marketing. So there is a big win right there. It's put us in front of some pretty interesting opportunities. And overall, we're pleased with the uptake on the distribution partnership. 17:43 BioCloud is a new technology, it's innovative, it hasn't been around for that long. And for us to be able to attract global brands and partners. We're very pleased. And the other thing with BioCloud, which is quite different from our energy technology is it puts us on the global stage. It is our one technology where we're having discussions around the globe, much of those we've press released. So I think we've been very pleased with BioCloud being part of our overall revenue and technology and innovation. Thank you.
Jeffrey Campbell: 18:19 Well, into follow that up, and not to put the car before the horse, but do you foresee the possibility that these global conversations that are starting with BioCloud could eventually lead to work for the other parts of the Kontrol portfolio or do you think it's going to tend to be more limited to BioCloud over time?
Paul Ghezzi: 18:40 Yeah. Great question. So I would say where that is true is in customer conversations. When you're talking about HVAC today in today's world, you are always talking about air quality. In terms of our distribution channels, most Global HVAC companies will have their own technology, but there are synergies around the way we operate in buildings from a software perspective, typically, large HVAC manufacturers or distributors are lacking that piece. And so there have been some conversations around that, but I would say, what's really happened is those local markets are opening up to us because we're in those markets with our distribution partners and we have had other opportunities on the energy management side. So while it's not a perfect cross sale. I would say one definitely helps the other.
Jeffrey Campbell: 19:31 Okay. Great. That's helpful. Let me ask a final question, could you talk about Kontrol carbon a bit. Should we think if this is essentially an expansion of the original Karbon credits efforts and I ask because it sounds like that greenhouse gas emission verification and the Karbon offsets, carbon capture that might require some new hardware, or maybe some software beyond what you were talking about earlier?
Paul Ghezzi: 19:58 Right. So I would say, I think about it from an industrial and commercial perspective. So the Kontrol carbon brand has meant to capture our work in both. The initial press release was around our commercial efforts in buildings, energy efficiency projects and monetizing verifiable credits. On the industrial side, we have customers that are blue-chip global companies in the oil and gas sector, the cement sector. They've got a different problem. They're going to be forced to do things that include carbon capture or significant reduction that don't apply to the commercial sector. 20:31 So on the industrial side, we discovered an opportunity to support carbon capture through better monitoring equipment sales and helping those customers. And those tend to be regulated customers that have to follow state, local, federal policy. So two different markets, different solutions, but we are going to aggregate those under one brand, which we define as Kontrol carbon.
Jeffrey Campbell: 20:57 Okay. Great. Thanks for the clarification and best of luck in 2022.
Paul Ghezzi: 21:02 Thanks again. Thank you.
Operator: 21:05 Thank you. [Operator Instructions] And your next -- there are no further questions at this time, you may proceed.
Paul Ghezzi: 21:29 Okay. That's great. Thank you very much. So thank you, operator, and thank you everyone for joining the call. We appreciate you spending time with us and we look forward to continuing to work toward operational excellence and drive sustainable value for our shareholders going forward. If you like to connect with us, please email us at info@kontrolcorp.com or you can reach out to the MZ Group, our investor relations firms for any questions you may have. Thank you and have a good day.
Operator: 21:58 Ladies and gentlemen, this concludes your conference call for today. We thank you very much for participating, and ask that you please disconnect your lines. Have a great day.